Daniel Julien: Hello. Do we have a video first? Okay. So everything is clear now. So good morning, good afternoon or good night, depending where you are. Maybe I'm going to go there. So, we are going to present you the results of 2022 and our first guidance for 2023. Well. So okay, you know the group. So I'm not going to say a lot of things about this slide, except that the group is in a metamorphosis phase passing year after year from being totally focused on customer experience to enlarging our game field into what we call the digital integrated business services, which means that not only today, we are managing customer interaction, but we are also managing end-to-end outsourced process for our clients. As you can see, the net number of people has been more or less stable despite the growth. This is mostly linked to the COVID onetime business that was much more people intensive versus the average of our business. As you can see also, in 2022, so at the exit of the COVID period, we are more or less at 50-50 in terms of work organization, 50% working from home and 50% working from our centers. We think that we are going to probably come to stabilization around the end of 2023, that should take us with 40% working from home and 60% working from the centers. So the year, in fact, we have a record growth and record profitability. As usual, I would say, year after year. But in a year that has been everything but boring. First, it started with the war in Eastern Europe. Second, by the fact that China did not open at all, so which means that we have an operation there that we have not seen for three years, very simple. Third has been a lot of incertitudes on the market, specifically in the second part of the year. Fourth, we have seen the rise and the fall of the cryptocurrency market which, by the way, impacted us also because we are serving a large platform, and we have ramped up very aggressively at the beginning of the year, and then we had to ramp down very aggressively due to the evidence on the cryptocurrency and the volatility of these markets so far. And it has been also challenging year for the management because suddenly out of nowhere, we had to face a totally unsubstantiated politic that distracted the management from its day-to-day task for almost three months. Still, a little bit more than €8 billion, 15% growth has reported 14.6%, 12.5% like-for-like if we exclude the onetime COVID business. And despite the fact that €500 million of COVID contracts went to an end, we still had altogether like-for-like growth close to plus 6%. All -- I think it's above the guidance we gave early 2022 and also above the guidance that we gave in summer 2022. The margin has followed, there is plus 18.5% in EBITDA, which is up 80 basis points versus 2021 and plus 17.8% in EBITA. It follows to the bottom, where the growth in net profit, we paid quite a lot of taxes as usual, we are a group that never tried to optimize its result by strange tax planning, and we pay our fair share of tax. I call that ESG, for the one we give lessons and don't pay tax. We have -- so we are going to suggest to the general assembly of shareholder to distribute a dividend of €3.85, which is plus 17% versus last year. The cash flow has been very solid, and we kept our final output BBB rating which is the kind of rating that we like. We don't want to be overly conservative and have an AA rating. And of course, we want to be solid enough to deserve the BBB rating. What did we do? What did we do? Still in that year that was pretty active. We made the acquisition of a digital recruitment platform that is pretty interesting for us because it helps us to recruit the people we need every year internally, and it helps us to better penetrate a sector, a vertical that is of high interest for us which is the healthcare in the U.S. The second point of this is called CSF. But yes, we have been named best -- we have the best employer certification in 64 countries that cover more than 97% of the group workforce. Maybe as a guys who give the best -- the best working place. Maybe they are blind to give us this kind of ranking or maybe there are something that some people who wanted to start the politic did not quote -- did not catch. Sorry. By any way, as we have to read the press and as we have to address the press, when it's negative, we should trust the press when it's positive also and the magazine Fortune ranked Teleperformance 11 among 10,000 companies in terms of World Best Workplace. There are not many companies that can say that. Maybe they are 10. With us, there are 10 users. After we have few friends who are a little bit behind us, but for us, it's a great award and it means a lot. Okay. And then what happened? I'm not going to make use a gift not to come back on the unfair, unsubstantiated, crazy storm in a glass of water politic that has been started and amplified in some places. We got a negative noise in media, social media in late '22 with regard to our content moderation practice. And the working conditions at Teleperformance in Colombia. There was two articles in three months from two different -- one from a journal, one from another one, and one tweet from a Vice Minister of Labor. Then when I was in a roadshow in the U.S. at three in the morning, somebody called me and told me, Daniel, wake up. It is a disaster, there is a massive fail of and the stock is down 38%, November 10, Black Thursday. If an atomic bomb comes on the European city in the future, we will be more prepared to that than ours to listen to this hallucinating story. So what did we do to restore the tools and the trust? We had audited our operation in El Paso, Texas because the two places that were in discussion where El Paso takes us and Teleperformance in Colombia. We had no found no inconsistency. We ask a third-party audit to double check. It was in the heat of the crisis, and this crisis was mentioning a client that is himself, a topic of debate in the U.S., as you know. And -- by the way, at that time, the audit firm said, okay, we -- okay, we can make the audit, but we don't want to be involved in that kind of politic. So we make the audit at the condition that you do not disclose the name of the Company that made the audit. In the heat of the crisis, we said, yes, it was maybe a mistake, but we needed to have a third party because we really wanted it. Then some people who give us a lot of credit so that we did not want to reveal the third-party crisis -- the third party audit because maybe it was third level audit firm. No, it was a first, first level audit firm. And what did they find? They're fine. No inconsistency with our Teleperformance USA statement and that there was no agreed use work moderated in El Paso, which we were saying from the beginning. So the journalist who interview five or six ex-guys who had work in our center at one part of time, did a strange job, I have to say. She could have interviewed maybe the thousands of people working in El Paso, and maybe she would have got another story, and we are going to discuss that afterwards. But it was clear among the heat of the drama that a large part of the financial community was concerned with the job of content moderation. For us, we think we are proud to make this job. We think that it's the most -- it's maybe the most useful job that Teleperformance does because we protect the public. We protect the family. We protect the kids from the bad people in the digital world. I mean in the real world, there are people who are protecting. We call them cops. We call them firemen, we call them first responder. Nobody saying they are bad people, and they should not exist. But okay, under the pressure, we decided we say, okay, fine. We are going to continue the content moderation, but we are going to make sure that with our client, we segregate the 5s that have a high level of recurrence of highly egregious content. And this one, we will stop to take them, the client either is going to manage them internally or will give this file to another provider. This is a decision that we announced in November 17. In December 1, because some of the noise was not totally -- did not came just totally by chance, as you can imagine. So in December 1, behind the scene, Olivier and I and other people who worked very positively with the Federation of Union who was complaining about the situation in Colombia, and we signed a global agreement with them, which is basically the content of the global agreement of the UN Global Compact that we signed in 2011. But we recognize them as a valid interlocutor, a valid partner to discuss the implementation of the ESG, that we have nothing to hide is perfect. It goes very well with us. Was it enough? We are recovering a little bit, but not so much. So first, we thought that we owe to our Board to come, see, feel and touch. So we took the Board of Teleperformance for their Board seminar, the three-day Board seminar in El Paso, Texas. So they could see the horrible condition of our worker in El Paso, Texas. Here, you have just a few pictures and you are going to see that many of you, you would like to work in such environment. By the way, this is what you cannot see is the place where we have the free ice scream for our people, and they can influence them, three to seven is free. That's for them. It is the break rule. Honestly, I've seen many of the growth of the [indiscernible] institution. [indiscernible] is rest -- the cafeteria, as you can see, it's early android. So sometimes, it's good not to have a time for, but sometimes things have to be said. What did we do? We continue. December 7, a third-party -- well-known third-party released its audit on Teleperformance Colombia and the result of the audit on the compliance to the norm ISO 26000, which is the CSR in operation, we pass it with 93 out of 100. Guess what? I don't know if you have been to school. But if you go to school, this is an A, not a B. It's not option B, it's A. And if you don't trust over, please welcome -- welcome to Colombia. December 13, of course, I was in Bogota, meeting the representant of the government of the new government that has changed and so on. Asking them, in fact, I met the Secretary General to the President, and I made the Vice Minister of the Economy and I asked the very candid question. So far, we think we have done only go to the country in a country where 50% of the labor is casual. We are 100% formal. Second, most of our job is service exportations. So we bring hard currency to the country. Third, we pay all our taxes and I showed all the taxes we had paid during years. Four, if you want to see our operations, please open doors, welcome. I don't think that there is one company in the country that has something as beautiful. And in fact, I had two extremely positive meetings where the representative of the government told me there is no, you are not in the agenda of the government. Of course, we want you to be in Colombia, and we want you to grow in Colombia. Just for the second -- by the way, I was very happy to see that yesterday night at 11 p.m., the Vice Minister of Labor who had tweeted about Teleperformance, just sent a tweet saying that 2023 is in a good direction with three-party social dialogue between Teleperformance, the government, the unions, I mean it's a great love. January 17 to January 24. What do we do because we see still not there, you know columnist, columnist, there is always something that stay. So we opened doors, opened doors where we manage content moderation in the main country, USA for other deals, India, Portugal, Colombia, Greece, Albania to 16 investors and analysts. And I am sure that some of you, you have been there. For the one who have been there, I will let them share their experience with their colleagues. I have no comment. I think everywhere you see ultra model work conditions, people, very professional and very involved and no real trace of dirty exploitation like it was commented in the press. January 30 '23. Finally, after years -- Oh, yes, our same friend of Uni when the COVID started pretended that we had put a danger the health of our workers. I'm sure that the stats of fatalities in Teleperformance workers way below the stats of the countries where we are. We have been commended by the way, by so many people, including by the worker councils in Europe for what we have done. I remind you that we were one of the rare company to be able to find 6 million mask to distribute to our employees at the time the government were unable to find masks. I mean some governments and so on. So finally, the OECD national point of contact said, okay, -- we closed the case, there is nothing to say. Teleperformance respect the OECD guidelines and all the recommendations that we made have been implemented. Okay. Let's continue because it's not enough. When there are columnist, you have to keep the columnist because a columnist has eight heads. January 31. We got from core theory and I swear, we did not drive -- next slide. Sorry, January 31, we got from core theory that you cannot suspect that we try to influence the results of their audit. They told us that looking at all the key aspects of the employee experience at Teleperformance, the Teleperformance for the Trust & Safety division, the content moderation. The Trust & Safety division of Teleperformance core exceeded the benchmark for 600 other companies by double-digit points. I'm not saying that. It's core theory. So either you trust our theory and you must Teleperformance. Oh, you don't trust Teleperformance. And so you don't trust core theory either. Then January 14, 2023, after Colombia, we asked the Bureau Veritas to make the same audit to Greece, India, Indonesia, Malaysia, Portugal, U.S.A. regarding ISO 26000. Results, positive in all cases, the only exception being a formal exception was the fact that our U.S. operation should be better documented on their ESG process which is going to be done in the coming weeks. It's paper work. That's the story, ladies and gentlemen. Now let's see what has been the impact of this drama. I call that a drama for -- mostly for the French investors. It's called the Butterfly Effect that has been identified by Eric Lorenz in 1963. The butterfly fleet is wins, we thousands of malware and it trades -- don't need [indiscernible]. No, you have -- you have a situation that at around 270, 266 and so on. Then the Black Thursday, massive sale and then our three months of hard work that I described to you, and when you do that, you don't do something else. So it's a distraction for the management. Three months to come back where people know the truth and restart the trust. But the problem is not the problem, the fact and I'm not going to judge on that is look at what happened. Very simple. It has been concentrated on one country, France, the share of the French shareholders has reduced from 20% to 13% over the time, meaning that there has been a kind of panic sale and who took advantage of that. The under section, their share is now 65% share of shareholding of the Company is now 65% and plus 8% that I'll let you make your own conclusion. Now let's speak about the future. The future is -- future is complicated. If anybody in this room pretend that 2023 is an easy year to forecast, I get it, we are ready to hire the person immediately because we want to know what is the secret of smartness. It's complicated. Still and you know the way we work. For decades, we have managed to always deliver our guidance. And still, we think that we are going to have a double-digit like-for-like growth around 10%. I don't know if it will be 10.5%. I don't know if it will be 9.7%. In that case, it would not be a double digit. It will be two digit, but with comma. But no, it will be around 10% and honestly, nobody can be more precise than that. This is going to go with the final termination of the remaining COVID contract that are still present in 2022 for around €200 million, which is going to give us COVID included a like-for-like revenue growth of above plus 7%. As usual, because it's part of our commitment to try to fine tune, fine tune. We are going to improve our ratio. And so we think that we are going to have 20 basis point EBITA ratio improvements. And as we are in very strong financial situation, we are going to continue to look at targeted acquisition according to our strategy. And our strategy is very well known. We give the priority to business that we do not have in our portfolio of service to enlarge our portfolio of service as a business service company. And we -- usually, we take very well-managed and profitable company. And usually, we buy the companies with a discounted multiple versus daily performance in order to create additional value for our shareholders. Our midterm objective. Again, we want to become a global leader in digital integrated business service solution which is the mix -- the integration of all the elements of the digital to streamline the process, but keeping well alive the emotional intelligence to keep the link, to rebuild the trust between the customer and the -- as a company, they buy a product or service from or between the citizen and the -- and the government or the administration they are interacting with. So yes, I see here on this slide that somebody says that we are ahead of schedule. Okay. Yes, we are maybe a little bit ahead and -- but we will see. We will see at what -- when we are going to achieve the €10 million. I don't know if it will be at the end of 2025 or mid 2025, the €10 billion, but okay. The group is solid and the group is solid because the group has values that somebody have forgotten. The group has a strong management culture as a very strong leadership very well aligned and is not made only of very old people. You have eight executive members at the Executive Committee, and you have here Bhupender Singh. Bhupender Singh, who was the CEO of Intelenet when we acquired Intelenet several years ago, who is the Chief Transformation Officer and who are in the group, the responsibility of our smart value-added teams, I mean, consultants and engineers, 2,000 people -- 1,800 something. He has a responsibility of the R&D, the responsibility of the marketing and the responsibility of the Lean Six Sigma and of all our IT teams. That's several thousand people and of the CSO, which is the security, the data security. So you have Bhupender, you have Eric, you have Miranda, you have Agustin. All these guys are in U.S., you cannot see the age. But -- so I would say all these guys are in the late 40s or very early 50s. Then you have Scott Klein, Olivier who still young despite being -- despite being the global CFO of Teleperformance and here I am. So, a strong management, a strong deep bench of top leaders, in fact, we have more than 40 people in the management committee with a significant amount of women by the way. More than 30%, the day there will be 50%. I will be very happy because -- having said that, having said that, to continue the presentation on Teleperformance strategy and to be more serious, please Bhupender.
Bhupender Singh: Thank you, Daniel, and hello, everyone. Today, I'll start with the brief description of some nonfinancial business KPIs centered around our employees and our clients and wider ESG themes, and then I'll get into the group strategy. So starting with the employee metrics. We've been measuring our employee satisfaction for more than 10 years now, and this is done independently by our Knowledge Services division, which is our Analytics division. And it covers, for example, in 2022, we had more than 55%, so more than 200,000 responses. With that, we had 64% promoters. The way NPS works is people are -- people rate you on a score of zero to 10, 10 is good. Zero is not good. Nine and 10, so A-grade in Daniel's parts are considered to be promoters. Seven and eight are neutral and zero to eight are detractors. And the Net Promoter Score, NPS is the subtraction of detractors from promoters. So we had 64% promoters and 14% detractors, giving us 50%. At that scale, it's a very high NPS score. Not many companies have that. But that's still internally -- done independently, but internal. So we look for external validation of that too. So we had Great Place To Work. Again, we were certified. 64 countries now, which is an increase of four versus last year. And in addition to that, we were certified in 23 National Best Workplaces List, which is an increase of 10 from the previous year. And then you touched upon the Fortune recognition, where we were ranked as 11th Best Workplace in the World. We also have started doing something beyond Great Place to Work, given that majority of our staff are millennials. So we started looking at online sentiment firms, like Glassdoor, Indeed, comparably, [indiscernible] and other firms, and we track them. And each of these, we are ranked among the top companies. So Glassdoor, we are ranked number two in our industry base. Indeed, fourth comparably first. And what's also important to highlight here is the scale again. For example, Glassdoor, the Company that is ranked number one, slightly ahead of us. We are 4.2, they are 4.3 billion is 1/10 our size. And all these good employee engagement and sentiment scores have not come by chance. They've come because we have a continuous listening approach where we use different opportunities, different channels to get employee feedback. So just in '22 we had more than 2.2 million feedback interactions from our staff, including what you call a moment of truth service. So a different stages of an employee life cycle in the Company, we ask them as to how do they feel? We have got daily sentiments. We've got pulse surveys or focus groups on some specific topics that we may want to dig deeper. And because of this continuous listening and then finding what the gaps are and continuously closing them is the survey results that you saw in the previous slide. Moving on to client metrics, client satisfaction. This is, again, something that we've been doing for eight years now, and we had our best year ever in 2022, 85% promoters only, 3% detractors, highest ever promoters, lowest ever detractors and hence, highest ever 82 in terms of NPS. Again, if we go around, there will not be that many companies that have this high NPS score in QSAT. And so it's not a huge surprise when the events of late last year unfolded. All our clients stood firmly behind us, and they continue to grow with us. Cloud Campus. This is our remote working value proposition, and we are very excited about it because it increases the talent pool. It improves the quality of life of our staff and also gives them more flexibility and also reduces the carbon footprint. So as of now, 52% of our staff continue to work from home. Of this 52%, 40% have been confirmed to work remotely, even beyond BCP or the business continuity planning. So they will continue to work remotely beyond the pandemic. And our program has been well recognized externally too, and I'll touch upon this a bit later. Increasingly, our clients are also asking us to help implement this in their environment. Some other key ESG metrics. We imported more than 63 million training hours in 2022, which is an average of 166 hours per FTE. We hired more than 125,000 people with their first job in this year. We had an internal promotion rate of 63%, which is somewhat less than 71% that we had for this in 2021 and the reason for that is because I'll touch upon in the strategy, we are getting into more specialized verticals, horizontals and digital areas. And while we do have a massive upskilling program, there is a bridge where we do need to hire from external also to meet our growth requirements. In management positions, 48% are women, and we are working to take it above 50%. We continued on our journey of reducing the carbon emissions. So it's another 9% reduction per employee this year. Since 2019, since we started tracking it, is down almost half, renewable energy, 28%. In '21, it was 21%, so another 7% increase there. And in terms of our CSR citizen of the world to the planet initiatives, we have now collected 81 million, which is an increase of 11 million in 2022. And our employees contributed to 99,000 of volunteer hours, again, an increase versus '21 when it was about 60,000. And I'll be remiss if I don't remind all of us that we started these initiatives well before ESG became a frontline investment and corporate topic. Moving to the group strategy. It essentially comprises three key elements: one, continue to build our queue, and I'll touch upon it in a minute. Number two, augment our digital capabilities, leveraging TAP, which is technology, analytics and process consulting. And number three, specialized services. So just like consumer good companies have multiple brands at different price points to cater to different customer segments. This is our equivalent of that. We will have multiple brands to cater to niche segments with different price and margin profiles. Cube, historically, TP has been a customer experience leader. It has been an execution powerhouse where it has leveraged its vast geographic footprint and capabilities in people management, processes and systems to deliver a good, consistent brand experience for some of the biggest companies in the world. And while that continues, when we started our transformation journey from being a CX leader to a digital integrated business services leader, about four years back, we started adding two more dimensions. One is line of services. So we already had strong capabilities and customer experience. First, we added what we call a CX++, so which is sales, collections, real-time interpretation. And then gradually, we started getting into adjacent lines of services. So things like trust and safety, things like horizontal and vertical back office and most recently, digital services. So that's one dimension. The other dimension is getting more expertise in industry verticals, so as to be able to offer customized solutions to our clients. And I'll illustrate that with a couple of examples. The first is in Banking & Financial Services. So we started -- this was our first vertical that we made investments in. We hired a vertical leader about two years back and supported that leader with domain experts and on the back end, some of our transformation team, some of our delivery teams were verticalized. And what team started doing was instead of looking it as a big vertical -- industry vertical where we go in with a very standard plain vanilla approach, they started looking at it in sub-segments. And within those subsegments, looking at from clients, and looking at what their pain points and opportunity areas are, and then using TP products and solutions to customize offerings for them. So for example, for some of the new banks and fintechs who were growing very fast. But on the back end, needed scaled operations, we helped them set up their scaled operations. Or in this sector, regulations and compliance is a big thing. We've all read about the fines being imposed, the PR risk associated with the non-compliance regulations. And what our team did was they used some of our digital capabilities to further fine-tune and improve KYC, FATCA AML and hence, deliver value to the clients. So the result of this, today, the practice is 1.14 billion. We support more than 140 clients. And if you look at the growth rate, TP itself has been growing well, and this is growing at almost double the TPs growth rate. Other example of industry virtualization is travel and hospitality. We started on this by appointing a leader for the vertical in Q4 of 2021. And it was the same playbook, looked at the sub verticals within the bigger vertical. And within that, looks at different service lines where you could add value and customize our products and solutions to that. And the result is similar. Today, we've got 25,000 people servicing more than 60 clients across front office, mid-office, back office and with 786 million, we may be the largest player in this sector. And if you look at growth last year, 41%, yes, we did benefit from the travel bounce back but even after we normalized for that, this is a super normal growth. And this SKU strategy is one of the primary reasons why we are cautiously optimistic about the near term despite the uncertain environment because really, we have deployed this in 2 or 2.5 verticals, the half being healthcare and the two being travel and banking financial services and one for horizontal trust and safety. There are a lot of other verticals. We are now doing similar things. and we expect to get similar results. Moving to our digital journey. It really started in earnest in 2019. When we took our technology, analytics and process consulting capabilities and starting leveraging those to deliver our client operations and internal operate functions, safer, faster, and at lower cost. And as we build on that maturity, we had enough use cases, we started using those as evidences to start selling more, using that as a differentiator versus traditional competition. Now we've got to a stage where some of our mature capabilities, whether it's from the consulting side or digital products, you can also start selling them, and that's already started in 2022. We already have, without making a conscious sales effort, we already have digital revenues in the range of tens of millions. It is not a huge number as a proportion of overall revenues, but it does have a disproportionate benefit in terms of it being a door opener, it being much higher margin and also helping us form deeper relationships with our clients. This journey in numbers. We started with about 250 people, pay more than 1,800, the number of bots that have been deployed exceed 23,000, and in terms of sell more, 67% of all our proposals above 1 million ACV have a transformation component. And our goal is to take it to above 80% in 2023. Now last two months with all the news frenzy about ChatGPT and openAI, somehow there is a feeling in the world that all these things started only two months back. The reality is we and our clients have been working on it for the past few years. And today, 72% of our top 200 clients have at least one of TP's top five products embedded in them. The most common are CX Automation. So CX Automation are things like converting voice to messaging and then handling the simpler interaction through a chat bot or in peak times converting inbound to outbound and again, the super-tier interactions, managing those through bots, and we have our own products, a product called AI product called Storify. And also, we leverage external platforms, be it [Telio], COROS, CX1. Also, for the last two years, we've had projects on GPT, generate AI, which is kind of what ChatGPT a type of. We already have projects in Europe and Latin America on GPT. RPA is deploying bots to automate parts of customer journey so as to improve the customer experience and or our agent experience. TP recommender is a prescriptive analytics tool, which is most applicable in sales and collection situations. TP Interact, as the name suggests, is an automated interaction analysis too. It is very useful for QA automation. Historically, in this industry, the typical QA sample is about 2% to 5% and it's done manually. In an automated manner, we can do QA of 100% of the sample. It also is useful for understanding the root cause analysis, drivers of a particular interaction, so as to improve things upfront and it's also useful for training and coaching our staff to be able to deliver better customer experience. And time tree is a workflow monitoring and productivity enhancement product. A quick example of digital services. So this is about consulting. So in our case, digital services essentially three components, technology products, analytics and consulting. This is an example of consulting where we leveraged our execution powerhouse processing systems, our cloud campus and some of the digital tools that support cloud campus and offer that as a service. We won against one of the top three consulting firms in the world on this project for one of the biggest airlines in the world. The project itself is only about €0.5 million or so, but more importantly, this has led us to a relationship where we are about to close about 8 million ACV with this client and the opportunity is in hundreds. Finally, the specialized services. As you know, we have five specialized services business. But in the interest of time, I'll cover only two, LanguageLine Solutions, which is our largest and PSG, which is the most recent addition. So LanguageLine Solutions, it is a real-time interpretation, translation and localization company with more than 30,000 clients. It provides interpretation services across multiple channels, whether it's audio, video, in person, and the transcription services are obviously asynchronous. Now one of the questions that has been asked for the past five years about this business is the risk of automation. And again, in the ChatGPT environment, again, this was brought up. So rather than actually saying much, we thought let the numbers talk for themselves. So the top two charts here give the audio and video minutes for 52 Mondays for the last four years, and we track that as an indicator of volume of the business. So if you look at the audio volume, sometime around -- it was around 1.7 million, 1.8 million in 2019. It was consistently above 3 million minutes in end of 2022. On the right side, the video, almost non-existing five years back was about 60,000, 70,000 in 2019, and we are now hovering above 350,000. We've already had six weeks in 2023. This trend continues in 2023. In audio, we've already set a new single day record of 3.245 minutes. And on video also, we've set new record of 387,000 minutes in a single day. And it's not a surprise that if your volume is growing, the demand for interpreters is also increasing. Having said that, it does not mean that we do not look at technologies. We have a digital lab where our LanguageLine team constantly monitors, test and then deploys the relevant technologies. And we also have a few patents in the AI area in this space. So far, what we have seen is all the technologies that are available, they are most relevant for translation and transcription in an asynchronous manner. Voice and video even more are difficult to automate. And if you couple that with the demographics of people who are using this service, and the mission criticality of situations when the service is involved, it becomes even more difficult to automate this activity. Just like consumer goods companies, the product may be made in one factory. But when it comes out, it has a different packaging, different pricing profile. So we do leverage our back end. So more than 4,000 people for LanguageLine Solutions are being provided by our Core and D.I.B.S. business. And as part of our verticalization strategy, we now have joint sales effort across different specialized services that are catering to healthcare, even LanguageLine, more than 50% is to the healthcare business, health advocate, PSG as one company. PSG, the most recent entrant, it is a recruitment process outsourcing company. And I do want to clarify because this question was asked in a few investor one-to-ones that it is not a staffing company. It does not take people on its own role. The people it hires are on its clients' rules. What it does is leveraging its platform and offshore delivery helps customers hire faster at lower cost. It has more than 4,000 employees and more than 110 customers. And as you can look at the stats, both the clients and employees are happy. And finally, the integration with Teleperformance, as Daniel mentioned, TP itself hires more than 30,000 employees every month to take care of its growth and backfill requirements. So we've already gone live in Philippines and U.S.A. and AllianceOne because these are geographies where PSG has most capabilities at this stage. And we are currently implementing their services in LanguageLine. We've also incorporated their value proposition in the overall TP sales portfolio. And finally, just like other shared services, we will leverage our corporate shared services of technology, procurement, finance, HR to provide these services to PSG also. With that, I'll hand over to Olivier.
Olivier Rigaudy: So good morning to all. I'm going to come back on the figure that has been presented by -- quickly by Daniel, and we are going to dig a little more in the figures themselves. So simple figure, I'm going just to mention them, 15 -- close to 15% growth in sales, 18% in EBITDA, close to 18% in EBITA and finally, close to 16% in net results. I've seen worse figure even a difficult time. But that's the figures that I just wanted to mention. What is interesting is that not only we grew, and I will come back on this growth but we improved dramatically on operability. It's the first time here that Teleperformance achieved such a figure or 15.5% of operational result. For those who are knowing us for some years, I just wanted you to remind what was the figure about 10 years ago, which was in the range of 10% and even below sometimes. So that is the journey that we have achieved. And this journey is not over. I'll come back later on that. This is probably the most interesting slide just to show the dynamics of the growth of Teleperformance. Of course, you have the currency effect, which is $351 million -- €351 million, sorry. And you have this famous effect of vanishing of €500 million from COVID line. That was the start of the year. But beyond that, we have been able to grow by close to €1 billion sales in this year organically. I just want you to stay a minute on this figure, which is €1 billion. Do you imagine what does it mean in terms of operational business? We grew close to €1 billion sales activity in 2022. Despite this noise, despite this global environment that has been, I would say, at least a blurry the vision stuff the decision that is coming and all the stuff at the end of the year. On top of that, of course, we had 265 million coming from scope, which are the impact of elaborate in the first half and the acquisition of Senture and the last two months of PSGs that just joined the family early November. So that is the most important stuff to remember, despite this fantastic difficult year, we have been able to add close to €1 billion sales in our figures. Coming to this slide. I know some of you are puzzled by that but because we changed our organization. And I know it's -- we didn't do that for -- make your life more complex. And I know it's complex for you, but the idea was just to cope with the reality of our business. What is the reality of our business is three major zone. I'm putting aside specialized service. So the North American activity, which case, of course, U.S., Canada and the two big between market factory, which are Philippine and India that are working mostly for U.S., not only but mostly for U.S. And on top of that, we had to add a pack on it. That is built the bulk of the business that has to be under the U.S. North American name. Ibero-LATAM has been I would say, limited to be Ibero to LatAm, meaning that Spain and Portugal are now joining Europe and U.K., despite the Brexit join also Europe. So we are now three major markets: North America, Europe and South America. That is the way we are following the business is the way we organize internally also. And as you know, we have to report the way we organize, I would say, internally. And of course, you have specials that didn't change. So coming to this famous presentation that is the most complex to read. And we have put here the growth by activity for the quarter, for the full year versus last year, like-for-like, published like-for-like and published like-for-like excluding COVID, which is probably the part that is the most interesting for you. We delivered for the year, 5.5%. And I know some of you are waiting -- we are waiting 13%. So it's below dramatic. Where does it come from? It's come from mainly two issues. One is Argentina impaired inflation that cost us roughly 1%. I'll come back in a minute to that. And the other one, following that, Daniel mentioned about the crisis in the crypto environment where we had very, very good business last year in Q4, that Danish of course, this year. But if you correct for these two figures for these two events, roughly 2% we are roughly in line with what we were delivering in Q3, which was 13.1%. Of course, this figure has to be understood without COVID, and this is probably the most difficult way to see that. I'm going to come back region by region in detail to explain you what happened. Let's move now to the results. So that's where we have achieved 15.5%, which is the never achieved figures that the group has done over the year. I'm not even speaking of 2023, where you understood that we are going to add 20 basis points on this figure. Where does this come from? Of course, North America and APAC is back on track. We'll come back later on that is India, but also the North American part, which was, I wouldn't say underperforming, but not exactly at level came back. And you see that Europe is, of course, a little down given the COVID disappear. But what is more interesting is to see the rise of the specialized service, which has been also driven by the TLS results that we are going to see in a minute. North America. So growth is 11.3% in the -- for the year, close to 6% in Q4, maybe 7% if you take out the crypto issue. And what is more interesting is to see that the margin has grown dramatically from 10.8% to 12.3%. Where does come from? North America, domestic, good activity in India. And we know that China, as mentioned by Daniel, is still under complex days, and we hope that it will be vanishing again back to, I would say, normal in 2023. LatAm, LatAm is a star a 15.4% growth in Q4 for the full year, 12.5% in Q4. Why it's -- what is the impact of Argentina impaired inflation? Just for you to understand when you have impaired inflation, you're obliged to correct the figure with the level of the index of the price. At the end of September, the exchange rate of Argentinian pesos went down by 24% versus the first day of the year. The price index was minus -- plus 26%. So price and exchange rate were aligned. Surprisingly, at the end of the year, the price index and by which we are correcting our figure is minus -- it's plus 34%, so 10% more than three months before. But the exchange rates moved from minus 24% to minus 62%. So it means that probably, and I don't want to enter in detail that the index of price that has been published by the Argentinian government is not exactly reflecting the reality. But the way we are computing our figure is this is a way we are obliged to do that. And that cost us closely to 0.8% growth in Q4 and 0.2% for the full year. But besides that, the momentum was strong in most countries in the region. Dynamic sector, we mentioned healthcare, social media, online entertainment and automotive. Lastly, there are some development cuts that have been incurred in Q4. As you might have known, we have opening -- we are opening two new countries, Belize and Paraguay that are going to come on top of that next year. But as a whole, good figure. Europe, Europe now is including Spain, Portugal and U.K. Of course, there was a decline in revenue linked to COVID because all the COVID business were in Europe, and this is disappeared roughly totally. But if you take that out, the like-for-like growth for the -- is quite good. In revenue, it's 10.2%, if you exclude COVID, and 11.8% for the quarter. So very good figures in Europe, and we do believe this is a good trend for the future. Of course, there is an impact of the profitability, but we are staying at a level that is double digit. For those who know us for some years, the 10% was a dream for Europe years ago. And now we are significantly ahead of it. I'm going to finish with the specialized service. I would say a few things to tell. 17.5% growth in Q4, 18.6% for the full year. EBITDA close to 32%. This is, of course, has been driven dramatically by TLS that is back on track that achieve volumes that are higher than what we had achieved in 2019. I just wanted to point it out that at this time, we have no Chinese and that might come back hopefully in 2023. Some final figure on the -- so some comments on the figure, very few things to tell, of course, increase in nonrecurring item due to the performance share plan, I remind for all of you in non cash charges. And this is clearly linked to the success of the group and the fact that the price at that time were growing up. Performance plan. So some amortization of intangible assets that grew for tourism, of course, of the acquisition and also the dollar that push this amount also noncash impact. Operating profit at 14.4%. Let's finish with the financial results and the income tax. Financial also is stable despite the increase of rates. So you remember that we took some action early -- at the end of the first half to secure of our finance on the long term and to protect against interest rates. So we are flat versus last year. We pay a lot of tax, I'm sure I'm not going back on what Daniel said about our CSR approach, but we are paying tax everywhere where we are incorporated. And finally, our net profit is €645 million. What is more interesting probably the cash flow analysis, where we have two issues. When you look at the cash flow, we are growing to €700 million, which might seem to be small or unsufficient. In fact, we had two issues. We had the impact of €18 million that were social security contributions that have been delayed especially in the U.K. and in U.S. following the COVID. We should have paid that last year, but we have been paying that this year. But more importantly, as you might remember, we have -- we are using temporary agents notably in U.K. for the [indiscernible] business in 2021 that totally vanish in 2022 and these people who are paying late than our classical employees. This has totally disappeared in 2022 and won't continue, of course, in 2023. So if you take that out, for 2022. This COVID so-called COVID impact. We were closer to €800 million cash flow. I'm not going to bother you with the balance sheet, except if you have questions, but -- maybe a quick word about the financial position that is interesting, just to show that out of €700 million -- I'm sorry, I should have mentioned -- or I'm sorry, I forgot to mention that because this is probably something that you are going to ask me later on and to avoid it. Net capital expenditure, we are back at classical level. You remember that last year, we were at 3.2% of course, following the COVID. Now we are at 3.6%. I do believe this is -- I wouldn't say normative but something structural for the future. We are going to have a [nibribed] model as you understood, both on site, both at home. So the 3.5%, 3.6%, I would say, figure it's probably normative for the year. I just also want to remind that some years ago, we were closer to 5%. So coming to the financial position, what we do is our €700 million last year. We do two things. Of course, we bought PSG, €300 million to make it simple. And we use -- we give back to the shareholders, €340 million between dividend and share buybacks that we started in 2020 in November following the crisis. And we have a stable date today, when you look the debt, we are at €2.6 billion, which is 1.5x EBITDA, 1.47x, if you retreated PSG on a full year basis which is absolutely not a problem. The cost of this debt is under control. We have paid 1.88 last year. I do believe we are going to increase that a little this year by 20 or 30 basis points, but this will be still under control. And I'm, of course, well protected against potential further interest increase in rate. So I'm going to end with two things just to show what we are going to propose as a dividend, which is a 16% -- close to 17% growth again in 2020 -- for 2022 and 2023 which have seen worse figure again. I would just last -- just wanted to finish by giving you just a sentiment at the beginning of the year as we said that January is -- has been solid. Thank you.
A - Daniel Julien: So, is it working? Yes. So, we are going to now to listen to some questions. I'm sure there are questions from there and from the call, from everybody. So let's start. Let's start.
Antonin Baudry: Thank you very much. Antonin Baudry from HSBC. I have two questions. The first one is about your 2023 guidance. Solid. So I wanted to know what support this guidance in terms of pipeline, in terms of ramp-up of new clients, which sector, which geographies for revenues and operating margin as well? My second question is about the G of ESG, the governance of the Company. We have questions about the evolution of the governance from 2024. I just wanted to know when you will explain us how the governance of the Company would evaluate in the future?
Daniel Julien: Maybe I'm going to start by the governance. I guess it's a polite way to ask me when I'm going to retire. I don't know. I don't know. I'm in great shape. Any case, as you can see, first, on slide, there is a strong executive committee. As you can see on this table, you see one unusual member of the Executive Committee presenting, I can tell you that the succession plan like we say is well known by the Board, the succession plan can happen in two different manners, either like some people have a bad accident and in that case, I can tell you the Company will continue very well or the succession plan can come because without necessarily me disappearing, let be clear a new CEO can come on board. It's not going to happen this year. If you accept accident, Will it happen in foreseeable future? Absolutely. That's it. Now there is something when you decide to make a change, you have to make the change at the moment you speak about the change. That's why I'm not going to speak about the change. okay? So having said that, and I'm in great shape. Having said that the commitment, we call that commitment within the group, which are the budgets. Come from bottom up, and they come from bottom up by reviewing client by client, the expectation by having it's a long process by having discussion with the clients and so on, then by seeing the normal statistics of contribution of new business, then by looking at some vertical then by analyzing the pipeline, everything being on sales force, everything is measured the slice, dice trend is whatever. And we come to a commitment. Right now with what is foreseeable, we feel comfortable to say that we are going to have an organic growth, excluding the COVID line of 10%. And I don't know if it will be 9.5% or 10.5% honestly, that's the level of precision that we don't know. But we have a very satisfied client. We have a strong business development team. We have a strong top team. We slice and dice the Cube that Bhupender was explaining. And when we do all this operation, we feel decently comfortable. By the way, there is -- we saw that maybe the first quarter would be a little bit challenging. And by the way, in fact -- when we look at the results of January, they are perfectly in line with what we say, okay, January is just one month out of 12. I know but it's better when the results first months are in line than when they are not in line.
Olivier Rigaudy: Yes. I just wanted to tell you -- to remind you, Antonin, that this is out without COVID. And we know that the impact of the COVID will be mostly happening in Q1. The figure that Daniel is mentioning, is without COVID. Of course, the like-for-like with COVID will be smaller and probably impacted in Q1 until by COVID.
Daniel Julien: Until the extinction of the COVID story. But on underlying, excluding COVID, we are really synchronized right now in the delivery of the operation with our planning. And we have no specific signs of weaknesses. We are going to continue to grow, of course, in the verticals that are pretty strong right now, which are obviously travel and accommodation and TLS for the service. We are probably going to continue to have a very solid year in LanguageLine because there is more and more immigration, even if the people don't like immigration. By the way, they are wrong because immigration makes the wealth of the country, but that's another story. Then -- we think that we are going to continue to grow with the social platform with the digital platform, all this part of the economy that remains dynamic. Then you have something that we get stronger and stronger and that is very important for us, which is the healthcare market in the U.S. and we plan to push more on the healthcare market in the U.S. But when we put all together, our activities, I mean specialized service and core healthcare market in the U.S., we are position in the top leadership of the business service companies for the U.S. healthcare market. That was presented, I think, in what is a company that U.S. scale marke that was presented in Everest a few months ago. So -- this is an answer to part of -- I think this is an answer to your question. Now there is something else that I wanted to say because Olivier did not mention it, but I think it's something important and it's also important to explain why we are pretty confident in the margin here. I'm not speaking about the top line, but about the margin. In fact, there is something a little bit specific in the Q4 2022. If you look at the U.S. and APAC, you see that the U.S. and APAC growth is lower than the growth in the other region. Is it because we have a problem in the U.S. and APAC? Not at all. It is exactly switch, but a positive switch and solid growth in volume between a decrease of domestic U.S. business and an increase but a stronger increase of the business in the Philippines, not the same price point, but better margin. Am I clear?
Oscar Val Mas: It's Oscar from JPMorgan. I think going back on the outlook, it's quite important. A lot of tech companies in the U.S. have announced layoffs. Can you just talk about new outsourcing? And are you seeing new outsourcing with your customers? The second question is just on wage inflation. What levels are you seeing in the U.S. and Europe? Could you quantify that? Or could you talk about is that getting better or worse? And then the final question, sorry. You talked about over the last few years, transitioning a bit more or significantly into digital business services. Are you competing against different companies now? Is it less of the traditional this kind of content -- customer management companies and more the accentures and the consulting companies?
Daniel Julien: Okay. Very quickly, we're seeing massive change from in-house to outsourcing. We see positive moves. I'm not saying that right now, it's a barrel, not a barrel. I mean I can say that today, it's a flow but for example, we signed in the financial business, a significant financial business that can be one of our locomotive that is a company that never outsourced before. So that's an example. But one tree doesn't make a forest. Second, on the wage inflation we have two different way to consider it. Typically, the wage inflation when we offshore. In fact, there is a typically, in most of the case, there is a devaluation of the offshore currency versus the our currency versus the dollar that help us to cover the wage inflation. It happened 90% of the case, sometimes you have currencies that are stubborn and this becomes a problem like the Mexican peso. But we know why the currency is [indiscernible] because right now, Mexico is taking a super advantage of the decoupling of U.S. and China economy. So in that case, we have a reduction of margin and then we have to adjust. In some cases, it's the opposite. We can have an increase of margin until you have a stabilization. Then when we are domestic, domestic to domestic. Typically, our clients are large responsible companies. So even though at the beginning, it's a little bit difficult to renegotiate the term of a contract. We renegotiate the term of contract to neutralize the effect of the wage inflation on our margin. Now on your competition, Besides -- yes, clearly, besides the usual respect the -- the business service world is not a world where you have every category of company well ranked in -- in a cluster. I mean you have -- it's very porous from one type of company to another type of company in terms of business. And basically, yes, Teleperformance, it happened that Teleperformance is in competition with Accenture or with Cognizant, with other Indian BPOs and sometimes we are in competition with them because we are entering the usual territory or sometimes they are in competition with us because they are entering our usual territory. So I mean, it's part of -- it's like the tectonic plates in the continent moves. Obviously -- Fortunately, we don't have earthquake. But it's -- it's clear that with a profile that presented to you and which is a profile that is at work for years. It's not just -- it did not come three months ago because we had to make a presentation now. Teleperformance, competitive universe is larger than before which means that our opportunities are larger than before.
Unidentified Company Representative: Maybe some questions from outside, from the call or from the video.
Operator: [Operator Instructions] We will now take our audio question from Simona Sarli at Bank of America.
Simona Sarli: So a couple of them, please. First of all, a quick update on content moderation. Can you please talk a little bit the commercial momentum there? And also following your decision to exit highly egregious content, so far, have you lost any of the existing contracts? And how is impacting your discussions regarding the new business? So I will take the questions one by one.
Bhupender Singh: Yes. So answer to your second question, no, you've not lost anything. And the momentum continues. We are forecasting our 2023 content moderation business and the wider trust and safety business to be higher than what it was in 2022. So despite what we announced, we will grow in this business.
Simona Sarli: And is there any way that you can indicate so what is the growth expectation for 2023? So if you will still be organic growth accretive to the group? And secondly, Bhupender, if you can please give some tangible examples of how you are now considering separating in different queues egregious grades from highly egregious?
Bhupender Singh: Yes. So -- in terms of the numbers, my simple rule is to always direct it to Olivier. I can answer the second question first. As we have discussed and also mentioned in wider forums, one of the challenges the industry has is there is no industry-wide standard definition of highly egregious What exists today are different platforms policies, while there is some similarity, but they also are different. So what we have done is we've made an operative definition basis the content and the frequency of occurrence of that content. And now we are in discussions with different platforms to get that consistency. We've not -- we've got good feedback on that, but we've not had any major challenges. More importantly, from a financial impact on Teleperformance, it will be -- we can safely say that it will be next to nothing. It's a very negligible component of our trust and safety business.
Olivier Rigaudy: Simona, to answer your question, maybe the best way to tell you that the growth that we plan for trust and safety is not dilutive to our global growth.
Simona Sarli: That's very clear. And if I may, one last question. So regarding going back to your outlook for 2023, you are guiding for margin improvement of 20 bps. So you have already mentioned that, obviously, there is an element of strong growth in the Philippines is a positive contribution from offshore. Is there any other moving part that will be contributing to this margin progression in 2023?
Olivier Rigaudy: Yes, of course, on different stuff. You have the growth that might -- that will probably happen from the specialized service and probably the growth from TLS that is going to help the mix. So the mix is going to help the margin. Secondly, I'm sure you have noticed that the North American part is improving since now two years. So this movement will continue. That is the second part. The third part is, of course, the China that might come back not only for travel but also for our business locally, and we hope that APAC is going to be better. Of course, there's still a negative effect coming from the remaining COVID business that is going to vanish. But as a whole, we made this computation of 20 bps. And of course, I didn't even mention the work that is -- which is launched today to, I would say, to -- to control the cost closer in this dice and slice, I would global environment that is new for Teleperformance.
Daniel Julien: Yes. There is one point that I would like to underline which is the fact that we are very bullish on India. We have already 90,000 people working there. India, everyday proof that it has the quantitative and the qualitative resources that we need to deliver our digitally integrated business services, and we are going to continue to push India where we welcomed in 2022 from outside a new very seasonal but brilliant CEO. And it's going to be a point important in the building of the future of Teleperformance. All of the points because I would like to come back again on the Q4 USA. I just made a calculation briefly. In fact, during the Q4, we had -- for every one individual that you can invoice that we lost domestic in the USA, we grew 3x the number of individuals in the Philippines. When you know that the price of the Philippines, the price point of the Philippines is more or less 2.2x less than the price domestically speaking. So it's just to explain or maybe to put in light something that I very often explain, which is the anti-crisis characteristic of our business. In fact, when the economy is booming, there are new products, new services, a lot of activities, so a lot of frictions, so a lot of need of Teleperformance. And so when the activity is booming, Teleperformance generally does well. But when the economy is in crisis, all the companies are searching for cost cutting typically, so the one that we are in-house, they are considering towards the ones that we're outsourcing a small part, they want to outsource a larger part and typically. And if you can find that in the crisis, 2009, 2010, 2011, we continue to grow. So clearly, we are in a year of 2023, where there is going to be a new push and it's amazing because it's very far from the political stance that we can hear, but there will be a new push for offshorization.
Unidentified Company Representative: And I will come back to later.
Unidentified Analyst: [indiscernible] So two very classic questions. First one on currencies. So with a weaker dollar, weaker Colombian peso, could you elaborate a bit on what you expect for currency in 2023 revenue and margins? And second question, could you elaborate a bit also on the M&A pipeline, please?
Olivier Rigaudy: I'm going to take the currency. Weaker dollar, but you remember that it's two effect. One is translation and one is conveyor transaction, sorry. So translation might have an impact maybe because we are going to be a little less at good levels than last year, we are today at 107 versus 105, so it's not going to be a drama so far on the conversion effect. Under the transaction effect, as you can imagine, we have hedged a significant part of our business significantly in advance. And I'm speaking out of the control of [indiscernible] who they were around 70%, 75% of our exposure that is covered. I'm not sure we have covered badly Colombian pesos, Philippine pesos and Indian rupee, which are the most -- the three most important, I would say, currency to be covered. There are some exceptions, Daniel mentioned about Mexican or [indiscernible], but there are others that are also positive. So as a word, it's going -- not going to be a burden in as we can say today, for 2023.
Daniel Julien: The second question was the M&A pipeline. I don't know if it's due to the fact that during the last three months, we have been burdened by the distraction that I was mentioning before. But our activity on M&A has been pretty slow over the last three months. It doesn't mean that we do not have opportunities. The fact is that right now in the market, the same name come over and over from the M&A teams of the banks. That same names, some presence, some interest, some less. Right now, there is nothing super hot that tells us that an acquisition is going to be to happen in the first half of the year. Now we are going to be a little bit more free to be a little bit more proactive. So it can speed up the agenda. But you know us, we never forced the calendar. I mean, at the time, there will be the right acquisition at the right price, we will try to do it.
Olivier Rigaudy: And we have the means to do it. You understood that.
Daniel Julien: Yes. Yes. Fortunately, several big financial institutions have a strong trust in Teleperformance.
Unidentified Company Representative: Maybe other question from online.
Operator: We'll now take our next question from Suhasini Varanasi at Goldman Sachs. Please go ahead.
Suhasini Varanasi: A couple for me, please. On Slide 26, you actually show the TP one office that covers customer services, business services and sales operations. Can you give us some idea how big each of these are in the mix within this? Is that something that you track or have targets for medium term? It would be just interesting to see how the transition is progressing. I can take the questions one by one.
Olivier Rigaudy: This is the cube mix. Yes. Suhasini, we do track -- or we have started tracking only from last year, our revenues and gross margins by line of service. At the moment, majority is still in the first two, the customer services and business services and sales operations also is kind of its -- the other two are not huge numbers in terms of revenue. But in terms of growth rate, they are much, much higher. Specifics of each of these things. I'm not sure whether we have started disclosing them or not.
Bhupender Singh: No. Just to be clear, Suhasini, we want to stay on the -- I would say, on the presentation on the scope that we present a minute ago, I understood that already some analysts were happy that we changed the sector. So I'm not going to add new line of product to make your life more complex. So we are not going to report by line of business so far.
Olivier Rigaudy: But internally, we do track it. We started it last year.
Daniel Julien: Yes. We track everything internally, as you can imagine. We love that. We love tracking.
Suhasini Varanasi: Yes. Thank you very much. The next question is on that, Olivier, on the business segment change. I appreciate that you need to realign the business as every now and then, but it has become a bit difficult to keep the trends historically. Will you be able to share a few more years of historics, please, there's a new format? I'd be very helpful to analysis on it.
Olivier Rigaudy: You want us to deliver to reporting, one on the previous one and one on the new one. That's exactly what you asked for me?
Suhasini Varanasi: No. The second one is just on the active number, you want given it for two years. So if you have it for a few more years, I think that sold. The other one is more like are you tracking the transition?
Olivier Rigaudy: It might be possible. Let me check that -- that point, and I believe we are able to do so. I don't know when, but we have no problem to do it anyway. So we'll -- we are working on that, and we will be able to share it in a week from now.
Daniel Julien: We would do everything to please all our stakeholders.
Suhasini Varanasi: Just the last one, please, on PSG. It was growing at 40% CAGR, 2019 to '22, and I appreciate that maybe the growth rates are not sustainable going into '23, but just would be helpful to understand how you are seeing the growth numbers, is it like earning at 20% plus in your numbers, 30% plus, just because it's a decent margin component for '23?
Bhupender Singh: Yes. So yes, obviously, there will be a slowdown. It won't be 40% CAGR but it will still be double digits, and it will be as per our business case. So we don't foresee a big issue there. Other thing that we also need to understand what I was talking about, we hired 30,000 or more than 30,000 people within TP. And we would be leveraging capabilities of that because from the early estimates that we have done, their cost to hire will be in the is 50% to 60% less than what TPs cost per hire is in similar geographies. So there is a sizable benefit to be had to divert some of their resources also for TPs internal hiring.
Unidentified Company Representative: Other question from online.
Operator: We'll take our next question from Anvesh Agrawal at Morgan Stanley. Please go ahead.
Anvesh Agrawal: I will also sort of go one by one, if that's okay. So first, just to follow up on the outlook and the guidance. And obviously, Q4 had some specific impacts from crypto hyperinflation. Possibly, there was some sort of management time taken away because of all the events and it looks like sort of January has started really well for you. So the question really is like TP is known to provide guide conservatively. And is your 10% guide baking in the sufficient sort of conservatism within that or not? Or that's kind of the best number you could deliver sort of this year, given what the macro environment is. Maybe if you want to take that up, first, please.
Olivier Rigaudy: As mentioned, there are some uncertainty in 2023. I'm sure people have understood that even Daniel was telling that we were around 10%, and it's not because January has been good that we are going to change our guidance today. Frankly, it's difficult to tell. The global environment seems to be reasonably well. There are some huge strategies that would help to grow. There are some sectors that might be supportive. There are things that we don't know. So starting 17th of February, we are going to stay where we are, let's say.
Daniel Julien: Typically, when we build our budget, we always integrate the unknown factor. And the unknown factor is the bad hit that we are going to get during the year. We don't know what it is. We don't know exactly how much it will be, but we know that it will exist. And this is factoring this bad hit that we give our guidance, and that helps us sometimes to increase our guidance mid of the year, sometimes yes, sometimes no. But in 45 years of managing have never seen one year going smooth like it was planned in the budget.
Anvesh Agrawal: That is yes -- sorry, go ahead. Yes, that's clear. Then the second question I have is on health advocate. I mean that's sort of the business, which I remember had difficulties last year. Just wondering how is the business performing now? I believe there were some sort of changes at the top level within that business as well.
Daniel Julien: Yes. It's advocate, first, is an excellent business, very good business model. When we acquired this company, a lot of shares services were managed by their previous parent company. And we had a period of something most of last year, taking over system from the ex-parent company to integrate the -- so it was a period of integration. Then as advocate continued to deliver a healthy margin, but not enough dynamic. And so we came to the decision to put in place a new CEO at Health Advocate, who is seasonal managers coming from LanguageLine, by the way, but we knew as advocate in previous life. And so it took over a company that a new system because health advocate has a lot of data and a lot of system. It took over this system. The guy is super smart leader and IT manager. And we expect health advocate being under the double leadership of the new CEO and the governance coming from Scott Klein who is the head of the specialized services to have a much better profile coming this year and in the years to come. It's process.
Bhupender Singh: And if I can add one thing there, which is, again, a cross-pollination between different parts of Teleperformance. In health advocate, similar to what was done in LanguageLine Solutions, we have now added a video channel. And as you've seen the chart that I showed to you the way the video channel has grown, it's both more resilient and in a higher margin business is even more margin. So we've already initiated that in healthy advocate.
Unidentified Company Representative: Just to comment, I just wanted not to let the impressions that elaborate is not generating good margin, and this is a very good business. And lastly, I believe that Mr. Julien has to leave us, I don't know if there is a question last question.
Anvesh Agrawal: Yes. Just one follow-up. In being a drag, can you tell us how big that is a part of the D.I.B.S. and TLS piece, what's the exposure there?
Unidentified Company Representative: What was it? I didn't catch the question. How much TLS was?
Anvesh Agrawal: I'm saying how big China is within D.I.B.S. and TLS?
Olivier Rigaudy: China was between 15% and 20% before the crisis.
Unidentified Company Representative: What? Of volume what of TLS. Okay. It was difficult to understand from here.
Daniel Julien: So we would like to thank you very much at these two years -- after these two hours. It's two hours -- after this two hours meeting. And it's always a pleasure to interact with you. Thank you very much.